Operator: Good afternoon, and welcome to Aware's Fourth Quarter and Full Year 2025 Conference Call. Joining us today are the company's CEO and President, Ajay Amlani; and CFO, David Traverse. [Operator Instructions] Before we begin today's call, I'd like to remind everyone that the presentation today contains forward-looking statements that are based on the current expectations of Aware's management and involve inherent risks and uncertainties that could cause actual results to differ materially from those described. Listeners should please take note of the safe harbor paragraph that is included at the end of today's press release. This paragraph emphasizes the major uncertainties and risks inherent in forward-looking statements that management will be making today. Aware wishes to caution you that there are factors that could cause actual results to differ materially from those results indicated by such statements. These risks and uncertainties are also outlined in the company's SEC filings, including its annual report on Form 10-K and quarterly reports on Form 10-Q. Any forward-looking statements should be considered in light of these factors. You are cautioned not to place undue reliance upon any forward-looking statements, which speak as only of the date made. Although it may voluntarily do so from time to time, Aware undertakes no commitment to update or revise the forward-looking statements, whether as a result of new information, future events or otherwise, except as required by applicable securities laws. Additionally, the call contains certain non-GAAP financial measures that are -- that the term is defined by the SEC and Regulation G. Non-GAAP financial measures should be considered in isolation from or as a substitute for financial information presented in compliance with GAAP. Accordingly, Aware has provided a reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures in the company's earnings release issued today. I would like to remind everyone that this presentation will be recorded and made available for replay via link available in the Investor Relations section of the company's website. Now I'd like to turn the call over to our CEO and President, Ajay Amlani. Ajay?
Ajay Amlani: Thank you, Matt, and good afternoon, everyone. Fiscal 2025 was a foundational year for Aware. While revenue timing dynamics, particularly within the federal market, created variability in our financial results, the year was defined by meaningful strategic progress across our technology platform, leadership team, certifications and market positioning. We strengthened the foundation of the business, expanded our competitive reach and positioned Aware as a trusted biometric identity solutions provider. To reiterate, our efforts this year have focused on progressing our 3-pronged transformation. First, advancing our core biometric technology with a focus on liveness and biometric orchestration. Second, strengthening our science forward customer-obsessed approach go-to-market model. And third, deepening strategic partnerships and certifications that build trust and scale. Starting with our first strategic pillar, advancing core biometric technology. Liveness remains one of the most critical vulnerabilities in remote biometric systems today. Biometric injection attacks, deep fakes and presentation attacks continue to evolve rapidly. Throughout fiscal 2025, we invested significantly in our science and research teams to remain a leader in this domain. Our next-generation Intelligent Liveness combines deep biometric expertise with advanced spoof protection to deliver their verifiable proof of personhood. In the NIST IR 8491 evaluation, Aware achieved best-in-class gender and race parity, earning the lowest ratio bias rating in the market, and ensuring fair consistent performance across users at every high-risk touch point, critical for secure digital ecosystems. Aware Intelligent Liveness delivers subsecond capture speeds while materially reducing false negative rates and improving adaptability to emerging spoofing threats without introducing friction. We believe Liveness is not simply a feature. It is foundational infrastructure for secure digital identity. Innovation will continue to be at the heart of our progress in this area. At the same time, we have continued to evolve our biometric orchestration capabilities, which you may recognize as our Awareness Platform. Our orchestration framework is designed to maximize system uptime, enable modular integration of multiple biometric modalities and simplify deployment in complex customer environments. We are focused on building out our open architecture biometric infrastructure to bring civil and criminal identity management together in a single secure and highly scalable environment. By eliminating vendor lock-in and supporting a broad range of biometric systems, it gives organizations the flexibility to modernize on their own terms. We are working diligently to ensure enterprise-grade security, interoperability and scalability of our orchestration platform. Beyond orchestration, customer testing activity across our broader portfolio remains strong in both government and commercial sectors. Much of the demand is centered on defending against facial deepfakes, injection and presentation attacks and threats that are evolving in real time. Organizations are actively evaluating vendors capable of mitigating these risks at scale. Initial customer feedback has been encouraging, particularly around algorithm accuracy, ease of integration and flexibility of deployment. These evaluation cycles are often lengthy especially in government, but the depth and rigor of engagement signal, meaningful intent. We are also seeing continued engagement in fingerprint biometrics, where our long-standing expertise continues to differentiate us. A driving force behind our technology is the Aware team. Over the course of fiscal 2025, we strengthened leadership across engineering, product, sales and marketing. We recently welcomed a new Head of Engineering and a new Head of Product, both of whom brought immediate domain expertise and began implementing operational improvements from day one. These leaders are building upon Aware's strong scientific foundation while driving tighter alignment between product development and customer requirements. Our third pillar centers on building trust and scale through strategic relationships and certifications. Despite procurement delays stemming from the lasting effects of the government shutdown, including delayed appropriations and slower procurement cycles, we saw continued engagement across U.S. and international government and commercial markets. During Q4, we successfully deployed our first mobile biometric solution within a U.S. federal agency. Law enforcement customer growth also continued with the onboarding of additional U.S. agencies. While individually modest, these wins demonstrate growing international trust and institutional trust in our technology. We are expanding direct engagement with U.S. federal agencies at a time when Buy America priorities and supply chain considerations are increasingly relevant. As a U.S.-based biometric provider, we believe we are well positioned to compete both directly for federal buyers and indirectly through system integrator partners. Both channels remain core components of our federal strategy. While procurement timing remains dynamic, biometric modernization continues to be an area of focus within DHS and related agencies. Internationally, we continue to deepen relationships across both advanced and developing markets where digital identity systems are increasingly recognized as foundational national infrastructure. In the fourth quarter, we launched a pilot program with the Caribbean nation to deploy biometric time and attendance systems for government employees, further expanding our global footprint. We also are seeing expanding engagement in aviation and border-related use cases. During Q4, we successfully tested biometric boarding in Orlando International Airport, which now serves as a flagship reference or a direct travel and border strategy in partnership with the Greater Orlando Aviation Authority and U.S. Department of Homeland Security. Our technology supports contactless passenger processing under the Biometric Exit Program. This program demonstrates how biometric orchestration can improve throughput, reduce document handling and enhance traveler experience in one of the busiest airports in the United States. We also continued to expand our partner ecosystem through new strategic relationships, including integrations with digital workflow providers and collaborations with biometric hardware vendors. These initiatives remain in early stages, but we believe they strengthen our long-term go-to-market strategy and broaden our reach over time. We also continue to perform strongly in independent government-led evaluations, including DHS related biometric testing programs. Our face and fingerprint algorithms have improved meaningfully in accuracy, bias mitigation and scalability. During the year, we successfully completed DHS RIVR face matching evaluations and achieved ISO-30107 Level 3 certification for Presentation Attack Detection, placing us among a small group of global providers that meet the highest standards for liveness detection. In the Selfie-to-Document Match track, operating under the first alias MTDS1, Aware was 1 of only 5 vendors to meet all DHS high-performance benchmarks. We were also one of just 3 to achieve zero to failure -- zero failure to extract rates for both selfie and document images, and we delivered the lowest false match rate among that group, including against demographically similar imposters. These results highlight the accuracy, resilience and real-world readiness of our platform at scale. We also achieved ISO 27001 certification, a leading international standard for information security management. As enterprise and government customers increasingly require formal validation of security practices before engaging with vendors, this certification strengthens our ability to compete in larger and more regulated opportunities. We also completed independent biometric bias testing conducted by BixeLab, NVLAP accredited lab under the ISO/IEC 19795-10 standard. The full system evaluation covering both liveness and matching under real-world conditions delivered outstanding results. These results reinforce the accuracy, consistency and fairness of our technology across critical applications, including border control, national ID, financial onboarding, mobile authentication and enterprise access control. Finally, in addition to our biometric and liveness evaluations, where recently achieved FIDO2 Server Certification, validating our ability to support secure passkey-based authentication layered with biometric verification. This certification confirms compliance with FIDO Alliance standards for cryptographic authentication and interoperability, capabilities that are increasingly expected in regulated high assurance environments such as payments and financial services. When combined with our Intelligent Liveness technology, this approach helps verify real user presence, reduce phishing and automated attack risk and deliver fast, seamless identity experiences. These certifications are not simply badges. ISO 30107 Level 3 demonstrates our technology can defend against increasingly sophisticated presentation, deep fake and injection attacks. ISO 27001 validates our corporate security posture and operational rigor. Together, they materially strengthen our credibility with both enterprise and government buyers. More importantly, these validations are how Aware becomes a trusted provider for top Tier 1 enterprises and leading government agencies worldwide. The largest institutions require proven performance, independent verification and enterprise-grade security before they deploy biometric infrastructure at scale. Our certifications and evaluation results meaningfully expanded the universe of opportunities we could pursue and have already enabled us to compete in several large engagements that previously would not have been accessible. With that, I will turn the call over to David to review our financial results in more detail. Over to you, David.
David Traverse: Thank you, Ajay. Let's review our financial results for the fourth quarter and full year, which ended on December 31, 2025. Starting with the fourth quarter. Revenue in the fourth quarter was $4.7 million compared to $4.8 million in the prior year period. The slight decrease reflects lower perpetual software license revenue, partially offset by higher maintenance and services and other revenue. Operating expenses for the quarter improved to $6.1 million compared to $6.3 million in the prior year quarter. The lower expenses largely reflects the onetime costs incurred in the prior year period related to the former CEO's transition, which includes severance and acceleration of stock-based compensation expense of $600,000. As we noted in our last earnings call, we continue to expect operating expenses to reflect the strategic investments we are making. Net loss for the quarter was $1.5 million or $0.07 per diluted share compared to a net loss of $1.2 million or $0.06 per diluted share in the prior year quarter. Adjusted EBITDA loss was $800,000 for both Q4 2025 and the prior year quarter. Turning to our results for the full year. For the full year, revenue was $17.3 million compared to $17.4 million in 2024. The slight year-over-year decrease was driven by lower perpetual license revenue, which was partially offset by increases in maintenance and services and other revenue. Net loss of $5.9 million or $0.28 per diluted share compared to a net loss of $4.4 million or $0.21 per diluted share in the same period last year. Adjusted EBITDA loss for the year was $4.6 million compared to adjusted EBITDA loss of $3.9 million in the prior year period. Ended the year with $22.3 million in cash, cash equivalents and marketable securities and no debt. Our balance sheet reflects the increased investments we've made throughout the year to enhance our team, advance our core technology and certifications and support go-to-market initiatives. We will continue to allocate capital to our strategic priorities and build a stronger, more competitive business. While we remain confident in our long-term positioning, we believe we will continue to experience quarterly results that remain uneven given the nature of our procurement cycles and customer conversion timing. This is particularly true in government and large enterprise markets, where funding and execution time lines can shift from quarter-to-quarter. As a result, quarterly results may not fully reflect the underlying progress we're making. For that reason, we believe performance is best evaluated over multiple quarters. With that, I'll hand it back over to Ajay for closing remarks. Ajay?
Ajay Amlani: Thanks, David. As David noted, variability remains a feature of our business, particularly as we advance complex government and enterprise opportunities where procurement and funding timing can shift between quarters. During the fourth quarter, multiple large identity solution providers progressed into testing and evaluation phases. These processes can be lengthy and technically rigorous and not at all evaluations -- not all evaluations result in near-term deployments. While timing remains uncertain, continued participation in these evaluations, expands our relationships and informs future opportunities. Retention performance remained strong and well above industry benchmarks and approximately 3/4 of our current pipeline consists of new logos with the balance representing expansion within existing accounts. This year marked the beginning of a comprehensive revitalization of the Aware brand. We've launched a fully redesigned website, our digital storefront with a modern look and feel that reflects the strength and innovation of our technology. At the same time, we sharpened our market positioning to clearly align Aware as a biometric identity solutions company. We also restructured and repositioned our product suite to better align with buyer needs and decision-making priorities, supported by refreshed messaging that clearly communicates our differentiated value across biometric identity, liveness and authentication solutions. While still early, search visibility has improved meaningfully, and we are seeing increased inbound engagement. On the technology front, we continued advancing our intelligent liveness capabilities to defend against increasingly sophisticated presentation, deep fake and injection attacks. We also achieved ISO 30107 Level 3 certification for Presentation Attack Detection, and ISO 27001 certification for information security management, strengthening our credibility with enterprise and government customers that require independently validated performance and enterprise-grade security. Stepping back fiscal 2025 was about building the foundation and getting us out in front of key customers. We strengthened our core technology, expanded certifications, deepened partnerships and continued evolving toward a more integrated biometric solutions platform. Execution and conversion will take time, and we expect variability to remain part of the near-term landscape. However, we believe the structural progress achieved over the past year strengthens our competitive position and supports our long-term opportunity in biometric identity. As we move into 2026, our focus is disciplined execution, converting pilot programs, strengthening the awareness platform, scaling revenue and delivering durable long-term growth. We are building a more predictable and scalable biometric identity business, one that balances innovation with discipline and positions Aware to lead in the next era of digital identity. That concludes our prepared remarks. We'll now open the call for questions. Matt, please provide the instructions.
Operator: [Operator Instructions] First question is for Ajay. Federal procurement timing has created some variability in results and 2025 revenue was essentially flat year-over-year. How should investors think about the drivers of potential growth going forward, particularly given the mix of federal, commercial and international opportunities?
Ajay Amlani: Thank you very much for the question. In 2025, we did see some programs move slower than expected during the year. As you know, government procurement cycles can vary in timing from quarter-to-quarter. We also had a pretty significant slowdown in government shutdown that also impacted the responsiveness of [ the members of ] the federal government, public servants that we're going through a very difficult point in time in their careers and in their lives trying to suffer through what was one of the longest shutdowns in the history in the U.S. government. Coming out of that, we've seen increased activity in federal government meetings, which have resulted in significant pipeline acceleration and opportunities here in the U.S. federal government work. We continued working though, on the international front and in commercial markets to convert our pipeline, expand our pipeline and expand our brand to make sure that the business continues to stay in a growth path as we expand our product portfolio and our certifications.
Operator: Our next question is for David. How should investors think about the mix between perpetual licenses, recurring software, services and maintenance going forward?
David Traverse: What we're seeing is the mix will likely continue to evolve depending on the types of programs we're secure. As you know, historically, we've had a combination of perpetual license, maintenance and services and that's particularly in larger government deployments. Exact mix can vary from quarter-to-quarter depending on whether revenue is driven by platform licenses, recurring software sales or cloud-based solution-based programs. So rather than targeting a specific mix, what we're focused on is expanding our presence in these large programs where our software platform can be deployed and maintained over multiple years.
Operator: Thanks, David. Our next question. You mentioned several evaluations and testing phases with potential partners. What is the process and time line from evaluation to production deployment?
Ajay Amlani: Yes. I mean many of these opportunities start with an evaluation after we've included establishing ourselves as a reputable company to be able to participate. These evaluations can basically move on to pilot programs and then the customers will validate the technology within their environment to decide if they want to be able to move forward. The process typically moves into production deployments, which can expand over time depending upon the scope of the program. Well, our goal is to start small, honestly, with an onboarding a customer, keeping expectations in check and then continuously exceeding those expectations. And then from there, as long as we continue to exceed expectations, they'll grow the amount of work that they do with Aware and don't feel comfortable being able to feed more business and more opportunities our way, particularly in government and large enterprise environments. That's balanced obviously with procurement cycles, budget availability, but the focus is continuing to advance those evaluations and making sure that we can improve conversion and growth as our platform evolves and we end up in a land-and-expand strategy.
Operator: Ajay, another one for you. How did the recent certifications and platform enhancements strengthen Aware's competitive position and support future opportunities with customers and partners?
Ajay Amlani: So I really do applaud the amount of work that goes into the development of these new certifications around biometrics. We -- people globally are really pushing the envelope in terms of being able to make sure that the technology can keep up with current threats in the market. There are a lot of threats that are based in this market, especially with AI and AI generated identity that can basically trick systems. And so continuing to stay not just one step ahead of it, whereas you could potentially be breached, you need to stay 2 steps ahead of it. And that's where these certifications come into play and become very important. These certifications are typically listed within procurement from major customers, and it's very important to be able to meet these certifications. In a lot of ways, these are just basically ways to be able to make sure that Aware is qualified to be able to bid, but not all parties are usually qualified with these different types of certifications. So it is an ability and a strategic differentiator for us to be able to advocate on behalf of including these certifications in the customers' requests and then also being able to meet these certifications, puts us in a competitive set that's smaller than the more broader set of people that you would normally consider for a solution by proving who's better and who's been able to meet certifications that are available in the industry.
Operator: Our next question. Why are deals not announced as they are signed?
David Traverse: I can kind of break that down to 2 parts. One is from an SEC requirement standpoint and the other one is more from a customer standpoint. So the first one, the SEC, we make sure all our disclosures and we comply SEC disclosure requirements. Most of the contracts we do sign are within our ordinary core business and don't require a separate disclosure from -- on the SEC side. On the commercial side, many of our government and security-focused customers also have confidentiality provisions. And in addition, our business -- in our business, the signing of a contract is not always the most meaningful milestone as programs often progress through pilots and deployments over time.
Operator: Another question received. Are you seeing any new AI native competitors or customers in-sourcing by building their own algorithms using LLMs? What moats or risks does your business have from an AI disruption relative to other SaaS companies?
Ajay Amlani: Our company is actually really well positioned to be able to take advantage of the LLMs and the technology that's in place to be able to improve our efficacy, improve our productivity, and also decrease our costs. We look towards the development of these capabilities is a really big strategic differentiator for us. Our existing presence in the market with existing customers and data allows us to be able to work with that data to be able to train our models in a more effective fashion. And we can also utilize it to be able to work on better co-development, upgrading the code and being able to serve our customers in a more effective fashion. As you know, we have a blue-chip list of existing customers, including Department of Homeland Security, Department of Defense, and many others globally, that are really the who's who in terms of government agencies. So being able to expand the services that we actually do with our existing customers to be able to surprise and delight them with new capabilities and functionalities would typically take a lot of effort on our side to be able to invest behind that capability. Whereas with all of the different tools that are now existing in the marketplace, we can be able to do that more effectively because we have a lot of inherent knowledge in the market in terms of what the customers need. We're in constant communication with our customers in terms of what they would like and how they'd like to improve their systems. And we're in the right place to be able to ask the right questions to the tools to be able to develop capabilities, whereas most people don't even know what to ask.
Operator: You described 2025 as foundational. What should investors look for in 2026 to measure success?
Ajay Amlani: Sure. So 2025 was really about strengthening the foundation and our product platform and our go-to-market execution. We're now in front of most of the major customers for biometrics. They know of us. They have a positive opinion of us. We're being included in a lot of their evaluations. And as we move into 2026, the proof points that investors should look around or look for really around improving execution, stronger conversion of our pipeline into actual program wins, recurring software deployments, larger solution-based programs, particularly in government markets are definitely things that investors can look to. Progression from pilots and evaluations into production deployment is another one. And third, while results can be uneven quarter-to-quarter given the nature of government opportunities, especially, we expect to see greater consistency in bookings and revenue over time as those efforts begin to take hold.
Operator: Thank you, Ajay and David. At this time, this concludes our question-and-answer session. If your question wasn't answered, please e-mail Aware's IR team at AWRE@gateway-grp.com. Before we conclude, I'd like to remind everyone that a replay of today's call will be available via link in the Investor Relations section of Aware's website. Thank you for joining us for Aware's Fourth Quarter 2025 Conference Call. You may now disconnect.